Operator: Good day, ladies and gentlemen, and welcome to the Stericycle First Quarter Earnings Conference Call. At this time all participants are in a listen-only-mode. Later, we will conduct a question-and-answer session and instructions on how to participate will be given at that time. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to introduce your host for the conference, Ms. Liz Brandel, Vice President of Finance.
Liz Brandel - Vice President, Finance: Thank you. Welcome to Stericycle's quarterly conference call. On today's call will be Frank Ten Brink, Chief Financial Officer, Rich Kogler, Chief Operating Officer and Mark Miller, Chief Executive Officer. I will now read the Safe Harbor statements. Statements by Stericycle on this conference call that are not strictly historical are forward-looking. Forward-looking statements involve known and unknown risks and should be viewed with caution. Factors described in the company form 10-K, 10-Q as well as it's other filings with the SEC could effect the company's actual results and could cause the company's actually results to differ materially from expected results. The company makes no commitment to disclose any revisions to forward-looking statements or any facts, events or circumstances after this date that may bear upon forward-looking statements. I'll now pass the call to Frank.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Thanks, Liz. The results for the first quarter are as follows: Revenues grew $43.7 million to $254.8 million, up 20.7% from $211 million in the first quarter of '07. Internal growth for the company was $23.9 million or 11.5% which is adjusted for the divestiture of some assets of STG in the first quarter of '07 and foreign exchange. Domestic growth was 11.4% and international growth, adjusted for exchange and divestiture was 11.6%. Domestic growth consisted of SQ up over 13% and LQ up 9%. Return's management revenues were $16.5 million in the quarter. Gross profit was a $113.6 million or 44.6% of revenues, and SG&A expense, including amortization, was $48 million or 18.9% of revenues. Operating income was $59.5 million or 23.3% of revenues, which included the charge of $5.4 million for the settlement of various business disputes with Daniels. Net interest expense was $7.7 million versus $7.3 million in 2007 due to increase borrowings related to acquisitions and repurchases of shares. GAAP net income was $31.7 million or $0.35 per share. Excluding the settlement charge, non-GAAP net income would have been $35 million or $0.39 per share. Now to balance sheet; at the end of the quarter, the revolver borrowings were approximately $495 million. On April 15 '08 we closed on a private placement of a $100 million and this note is a seven year term to expire in April of 2015 and has a fixed rate of 5.64%. The proceeds were used to repay revolver debt increasing our unused portion to approximately $310 million. We repurchased 1,000,482 shares... million shares of common stock in the open market in an amount of approximately $79.4 million. Cumulatively, we have repurchased approximately 10 million shares and we still have authorization to purchase an additional 3.3 million shares. Our capital spending was $11.3 million and our days sales outstanding were 59 days. The cash provided from operations in the quarter was $63.6 million, and I will now turn it over to Rich.
Richard T. Kogler - Executive Vice President and Chief Operating Officer: Thanks, Frank. We want to thank each member of our worldwide team for their solid performance and continued commitment to our customers and shareholders. We enjoyed strong sales growth in all of our business segments in the quarter. The STG growth was primarily driven by Steri-Safe with over two thirds of new Steri-Safe customers choosing select and preferred. Steri-Safe contributed approximately 57% of total small customer revenues. LQ sales growth was driven by the continued option of our bio-systems offering and new LTG [ph] med waste contracts. In summary, we ended Q1 with approximately 397,200 accounts of which approximately 287,400 were small, and the remainder large, and I will turn it over to Mark
Mark C. Miller - President and Chief Executive Officer: Thanks, Rich. I would now like to provide insight on our current outlook for 2008. Please keep in mind that these are forward-looking statements. During the first quarter we completed two tuck-in acquisitions, one domestic and one international. The incremental revenue impact in the first quarter was approximately $1 million, and the annualized revenues of these two acquisitions is approximately $12 million. But keep in mind our guidance for the year does not include future acquisitions or divestitures or the settlement charge in the first quarter of approximately $0.04 per share. We believe that analysts EPS estimates will be in the range of $1.67 to $1.70 which we are comfortable with. We have had our assessments of revenues for 2008 will be in the range of approximately $1.05 billion to $1.07 billion depending on primary assumptions of growth and foreign exchange rates. We believe analysts will have estimates for net income between $148 million and $151 million depending upon assumptions for mix and interest expense. And also we believe analysts will have estimates for free cash flow between $140 million and $145 million with capital expenditures anticipated between $45 million and $55 million. In closing, we are very excited about the tremendous growth in the first quarter and the rest of 2008 and beyond. We thank you for your time and we will now go to question and answer. Question And Answer
Operator: [Operator Instructions]. Our first question comes to us from Ryan Daniels of William Blair & Company.
Ryan Daniels - William Blair & Company: Hi, good evening guys, just a couple of quick house keeping questions up front that we track. Can you give me the number of large quantity adds in bio-system adds during the period?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Yes, the number of large quantity ads was 58 RMW and 70 Bio-systems.
Ryan Daniels - William Blair & Company: Okay, great, and do have the number of Steri-Safe accounts?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Slightly... total number of Steri-Safe right now is a little bit over a 121,000.
Ryan Daniels - William Blair & Company: 121, okay, great, then a couple of broader ones; first of, obviously the economic environment continues to be a big topic for a lot of companies and you continue to chuck through. But I guess one of the questions I had is, how much in particular of the small quantity generator business, if any is, going to be based on tonnage or volume? IE, if their and Dynamics [ph] officers are seeing lower demand, does that impact your revenue growth or do you contractually kind of have it set throughout the year so that's not a risk.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: The small quantity customer base is typically priced on the service base on free...-particularly in Steri-Safe where there is a monthly or quarterly fee, they really isn't a penalty and also the volume dynamic really doesn't affect the revenues in our cost structures that much.
Ryan Daniels - William Blair & Company: Okay, so volatility there really isn't going to impact your outlook?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: No,and also you don't typically see much volatility even at Dynamics. Healthcare continues to have demand through all those economic cycles.
Ryan Daniels - William Blair & Company: True. Okay, then two more quick ones. I know, I ask this, probably every other quarter, but on the Water Treatment side, may be a bit of period end on that and it seems that's [ph] actually came out last week and said your legionnaires disease is now going to be treated as a never event. I know your Water Treatment technology can really help hospitals control that very effectively, is that something that might be that water show event that really takes that product or that service offering to the next level, could be a new growth avenue that we hear more about from you guys in the future?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Yes, I think on the... the whole focus on the better outcome of Healthcare and affecting reimbursement levels based upon the actual results achieved, all of that focus on trend is good for us and I think it is more and more institutions report on their focus on how do they get the maximum reimbursement for activities, all areas that we operate, I think have benefited, whether it be reusable sharps programs or Med waste programs, other innovative programs that we have under R&D and pilot program. So, I think it's a fundamental churn. I think the CMS dynamics are still... are going to take time to evolve in terms of setting what will be the reimbursement and for people to understand the base lines when compared to that, that fundamental trend that it goes in our favor.
Ryan Daniels - William Blair & Company: Okay, great. And then, one final question, I noticed in your guidance, looks like everything is going up a little bit, maybe with the exception of net income on the high-end coming down. Is that just more interest expense because you have taken on more debt and repurchased some more stock?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Yes, obviously with the repurchase of the shares of about 79 million, that's close obviously, that will increase the interest expense with debt a lower share count. So, really withholding the number about the same as before in the lower share count gets you the benefit.
Ryan Daniels - William Blair & Company: Got you. Okay, great. Thanks a lot guys.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Thank you.
Operator: Thank you, our next question comes from Alina Cellura from Citi.
Alina Cellura - Citigroup: Hi, good evening. Just a quick question on fuel, I know previously you mentioned you have mentioned that fuel is pretty much recovered, but with the spike recently... I mean are you seeing any particular headwind at all, from the fuel spike?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Well, Alina, obviously fuel is the challenge for us, but our contracts rule out passing through, there we've mentioned before that there is some lag effect between when, you actually put the surcharge in, when you recover it and when fuel is moving as rapidly as it's now, that can pose a challenge but I think we managed through it pretty effectively. The one thing we always like to remind people is because it is a pass through it can't have the storing [ph] effect and impact on both... a kind of both for revenue growth and sequential margins.
Alina Cellura - Citigroup: And also, can you just tell us where those two tuck-in acquisitions were, domestically and internationally?
Mark C. Miller - President and Chief Executive Officer: Yes, the one was in the Pacific Northwest, and the other one was in Canada.
Alina Cellura - Citigroup: Canada, okay, and were they both med waste?
Mark C. Miller - President and Chief Executive Officer: Yes, related, yes.
Alina Cellura - Citigroup: Okay, great. Thank you.
Operator: Thank you, our next question comes from Scott Levine from JP Morgan.
Unidentified Analyst: Hi, this is Ronnie Toidine [ph], just... first of all, on the acquisition front, can you just talk a little bit about the pipeline which you are seeing there, how strong it may or may not be at this point, and maybe you could talk about any particular regions you might be interested in from a new market standpoint?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Well, the pipeline remains robust, its north of 50 million for the North American markets. So despite us doing deals we keep being able to replenish it well. It's really, we look at it opportunistically. At a... region that would may be get more or less attention in that North American marketplace and we look for up and tuck-ins so it is not a specific one from that point of view.
Unidentified Analyst: Okay, thanks, and secondly on the fuel, just kind of follow-up on that, what impact... can you quantify the impact that may had on your margins in the first quarter, and what it might do in the second quarter.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think if you look in the first quarter from a percentage of gross margin, it was just naught basis points impact, so whereas before maybe we did 44.6% without the fuel, that clearly would have been closer to 44.8 and little bit up from there.
Unidentified Analyst: Got you, Okay. Thanks a lot.
Operator: Thank you, our next question comes from David Manthey from Robert W. Baird.
David Manthey - Robert W. Baird: Hi, good afternoon, on the last question Frank, did you say it was 20 basis points?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Yes.
David Manthey - Robert W. Baird: Okay thank you. Could you talk about the number of telesales, direct sales and drivers that you currently have and what the growth rate you're seeing in those categories?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: We don't break it during the year out, you do get the details in the Ks, so go back to the K, and that detail as much as we are willing to give is right in there.
David Manthey - Robert W. Baird: Okay,thank you. And then, on ETD, could you talk about the advantage of using that method versus the incineration or other methods of treating medical waste? Is there a margin advantage there and could you talk about your capacity right now?
Mark C. Miller - President and Chief Executive Officer: Okay, first on the treatment modalities, ETD versus incineration, ETD gives you the way to get in and be able to permit facilities and capacity because you are not going into a community with a proposition that says there is air emissions or water emissions. It's never easy to permit new capacity, but it does have some advantages of being able to pull forward there, and it also has the grind and compaction dynamics of the unrecognizability of reduction in volume, but it's not a meaningful dynamic in the overall cost structure. The cost of servicing customers is... the number one cost is transportation and logistics. On the second part and overall capacity, we are probably running little over 70% capacity utilization right now.
David Manthey - Robert W. Baird: Okay, and then final question in terms of potential new business, I have been reading a little about reuse of medical devices. Is there any possibility, you look at that as a new avenue going forward, is that not something you are interested in?
Mark C. Miller - President and Chief Executive Officer: Well, that's something we are aware of and keeping an eye on that but it's not something in our current list of to do's.
David Manthey - Robert W. Baird: Very well, thank you.
Operator: Thank you, our next question comes from Scott Schneeberger of Oppenheimer.
Scott Schneeberger - Oppenheimer: Thanks, good afternoon. Just a quick clarification on the gross margins, Frank, you mentioned about, its sounds like 20 basis points on fuel, and as you talked in the past you got 20 to 40 basis points quarterly, sequential improvement abs [ph] in things like fuel acquisition impact may be ForEx. Could you give us a bit more of the breakout on the sequential move in those pieces? Thanks.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think if you again look in Q1, there is kind of two factors that impacted the margins, one is the as I said, the 20 basis points on the pass through and the other one which is little smaller, its kind of its mounting now, but five basis points above the acquisition related and those are really the two main impact factors in the quarter itself. If you look going forward, on the kind of steady state, you are looking at a 20 to 40 basis points and the thing that can throw that off again like it has in the past a little bit is obviously acquisitions, any international mix factors and then obviously if there is additional pass through, that would have an impact but on the steady state you are looking at 20 to 40 basis points from what it was this quarter.
Scott Schneeberger - Oppenheimer: Thanks, SG&A, a little bit better than what I had modeled, I think 18.4%... are we... on that line, did you cut cost in the quarter to a new level... basically are you spending at a new level and this is going to be the run rate kind of slowing down on certain things, picking up on certain things, I guess could you talk a little bit about the mix as the Bio-System, Steri-Safe return recalls, were you spend pushing down on the pedal or easing off. Thanks.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think overall it is there's no specific things that are being cut, we keep feeding the hot hands obviously Steri-Safe, Bio-systems, new R&D there might be some projects in quarters if we like we said, if we run ahead in our earnings we do invest in projects, some of those might be one time R&D kind of things we may be doing. I wouldn't read too much into that, you are talking a little bit here in rounding overall. You also have some acquisitions and it depends, amortization, I don't know if you include that in it or not but that could also swing the number a little bit, we normally includes the transition expenses in SG&A, so if you have that in there that might, that was a little bit higher because of the larger deals we did in the fourth quarter. So those could be factors that could make it up and down a little bit, but not materiality.
Scott Schneeberger - Oppenheimer: Okay, thanks. Along those line, Steri-Safe, there's been talk of you getting more involved with an internet offering there, is that going to be much upfront cost, I imagine that would be attractive margins going forward, could you just take us through your initiatives there a little please?
Mark C. Miller - President and Chief Executive Officer: We have a Steri-Safe internet initiative that's already in place, we will join that up. Big move on the cost side, as something is time goes on and we have some accounts that are migrating to that. It's really based on the infrastructure that's in place in the practice office, so we have the full gamut of service offering, but that just one of the overall strategy.
Scott Schneeberger - Oppenheimer: Okay, thanks and then finally, coming up against a tough returns recall comp in the second quarter, I think it was in the ball park of 25 million last year, again do you have anything to think about going forward as far as a how those are going to add to the flow?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: No, I thing if you look overall our guidance was 70 million to 85 million and that still is, we feel comfortable with. Q1 last year was a little bit lower but I wouldn't read too much into it. I mean you are looking at kind of an industry a little bit because that bumpiness has some variance. It is growing, there's certainly more awareness that we are creating and there is more media attention as you read in the newspaper and the like. So I think all those positive factors are kind of good back winds for us for the long run.
Scott Schneeberger - Oppenheimer: Okay, thanks very much.
Operator: Thank you, [Operator Instructions] Our next question is from Jonathan Ellis of Merrill Lynch.
Jonathan Ellis - Merrill Lynch: Thanks, good evening guys. Just a quick question on Steri-Safe could you provide the percentage of total account that are on the high levels as of the end of the first quarter?
Mark C. Miller - President and Chief Executive Officer: Yeah, right now, we're about 25% of total accounts on the premium select.
Jonathan Ellis - Merrill Lynch: Okay, great. Thank you. And the LTG and STG growth for the quarter, would you be able to derive what portion of that in basis points was the function of fuel surcharges?
Mark C. Miller - President and Chief Executive Officer: I think if we overall look your talking a couple of percentage points.
Jonathan Ellis - Merrill Lynch: So both on STG and LTG?
Mark C. Miller - President and Chief Executive Officer: Yes, it's not materially different.
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: We don't really work it out and it's very hard in the quarter to sit down say well exactly this much was fuel surcharge. In general, we believe it's the 1 to 2% range.
Jonathan Ellis - Merrill Lynch: Okay, I know it's helpful. And just as to be clear, my understanding is more of your SQ customer or surcharge eligible versus your LQ customer is that in fact the case?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I don't think that's how [ph] it indicates our contract provides flexibility because we been able to manage through it now for several years that we have had higher fuel. I think that really one of the issue might be timing, the large quantity contracts sometimes have notification periods and whatever but we have flexibilities.
Jonathan Ellis - Merrill Lynch: Okay, and just on fees and general, are there any other... any other fees other than fuel surcharges that you kind of implement your contract that can scale up overtime that offset perhaps inflationary pressure in the business?
Mark C. Miller - President and Chief Executive Officer: Not direct, we obviously have specific charges relating to environmental or regulatory, yes, those would be able to passed on, sometimes there are taxes been added by states, obviously those are straight pass ons, those are the kinds.
Jonathan Ellis - Merrill Lynch: Okay, all right. Great, and on the acquisition front, you mentioned that the pipeline in North America is... remains very consistent about $50 million. I am curious, are you giving a sense that there maybe [indiscernible] lease from fibre rayon [ph] companies that become increasingly willing to come to the bargaining table, given the prospect that capital gains tax rules may change the next illustration [ph]. Do you think the sense is more interested in essentially during deals?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think in the discussions we have had with people doing deals over the last year or two yes that has always been part of the discussion for them, how to structure thinks. So I would say yes there is a sensitivity on the side of sellers to that issue. Yes.
Jonathan Ellis - Merrill Lynch: Okay, great. And then just on the SG&A side. Just to clarify one of your answers to the previous question, is... should the expectation still be that SG&A for the year is in the high 18% range or is it 19%?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Correct.
Jonathan Ellis - Merrill Lynch: Okay, and the extent that you can just characterize this maybe qualitatively, would you say that more of your spending this year is focused on enhancing existing programs or as you mentioned, R&D your new programs. Just take in the relative sense of where SG&A is being allocated?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: I think overall, obviously in total dollar spent we spent more on current, but I would say from an incremental, there is definitely a focus on R&D and looking for new opportunities and if we do get ahead of ourselves as we've said always, that's when we would look for additional invest and pulling project out.
Jonathan Ellis - Merrill Lynch: Okay, great. And then just finally the resolution with the arbitration proceedings in the U.K., does this make it easier in any way either legally or structurally to launch a biosystems program in the U.K.?
Mark C. Miller - President and Chief Executive Officer: The settlement of the really the joint venture really wasn't working for either party and both of us agreed to go on our own way. It's kind of a few elements were the cause of the fence and distraction element, the debenture was just annex subset of geographic area that might grow. So overall taking an analysis on Bio-system's in international markets has a tension [ph] consistent as we said in said prior calls, its really... think about a phase II, most priority is focus on acquisitions integration, building the small platform and launching additional programs on to that as we move through times so there is no see.
Jonathan Ellis - Merrill Lynch: Okay, and just one last question against if I can squeeze in, the percentage of accounts in U.K. that are not SQ versus LQ?
Mark C. Miller - President and Chief Executive Officer: We were in the... SQ was in the low 20's, right for SQ and that's a percent of total revenue.
Jonathan Ellis - Merrill Lynch: Okay, great, thank you guys.
Operator: Thank you. [Operators Instruction]. Our next question is from Greg Halter of Great Lakes Review.
Greg Halter - Great LakesReview: Good afternoon guys
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Good afternoon
Greg Halter - Great LakesReview: Noticed that your receivable is up about 31% on a year-over-year basis, just wondering why that is?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Well, it's heavily, heavily acquisition driven, obviously with the acquisition and there is a lot of activity, DSO was at year end 58, this quarter 59. We were up just because of the one day and then the rest was really acquisitions, but the majority of this increase year-over-year is acquisition related.
Greg Halter - Great LakesReview: Okay. And do you have a figure for what fuel cost as a percentage of revenues in the quarter?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Total energy, which is fuel and energy was 6.65 of revenue.
Greg Halter - Great LakesReview: Which I think is up from 6.1 in the previous quarter?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: That is correct.
Greg Halter - Great LakesReview: Okay and looking at your market share, any potential that you have there and I know you have been talking about this $10 billion number is the total market. Do you see any changes in your status positions or competitors or size of market, and I guess that would be a worldwide question.
Mark C. Miller - President and Chief Executive Officer: I think one thing we are seeing is continued expansion of the market, we see as people age of access to Healthcare, there is this continuous steady demand, we saw that in the... with nice growth in the first quarter that was coming through in volume. So I think this is just a fundamental expansion of service. Obviously the size of the market expands as we add new services to the program and we keep enhancing our service offering. I think it's still a very, very competitive market but we believe longer term because of the size and scale and keep innovating and advancing that we can continue to change the game and have a competitive advantage by just having rapid service for our customers.
Greg Halter - Great LakesReview: Okay and giving your large market shares do you run into any trouble with FTC when you look at or make acquisitions?
Mark C. Miller - President and Chief Executive Officer: Now, I'm not sure how you define on the market shares, but we don't think we are getting anywhere close to those levels, but from our stand point we roughly about 9% of the global opportunity and so it a hasn't been issue from an FTC stand point.
Greg Halter - Great LakesReview: Okay, Excellent, and Frank on debt to EBITDA basis, where do you stand currently?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: At the end of the quarter we were at two points... little over 2.2, which roughly was about the same, we were at 2.16 and we were at 2.22 at the end of this quarter.
Greg Halter - Great LakesReview: Okay and I think you said you can go up to as much as three times, I believe?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: Yes, I think it's again a range, we feel very comfortable between two and three. I thing if we go to three it will be normally for a shorter period but our overall loan allows us to go to 3.75, that is the covenant that we have in both the senior and now the private placement so we have the room. And again if you look at history, if we don't do any repurchases or acquisition in the quarter, we come easily down 30 bips and... in a quarter. So, deleveraged very fast and so from that I get is an opportunity.
Greg Halter - Great LakesReview: And I think you had mentioned and I may have missed it, you know have 310 million available or used on the revolver after you did the 100 million note?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: That is correct, the note was used to reduce that and that is what is available right now.
Greg Halter - Great LakesReview: Okay, and here where I sit in Cleveland they are having a concern over pharmaceutical being flushed down the toilet and so forth contaminating the water and the city will an enacting or having a drop off, I guess you will on May 7th for any unused or expired pharmaceutical pills whatever, is that an area that your involved in now or could be involved in or just something that could happened throughout the country or is just not on event?
Frank J.M. ten Brink - Executive Vice President, Chief Financial Officer and Chief Administrative Officer: No, I think it's something we're seeing across the country and more and more focused on it, and it's not just the U.S., it's a global issued, we're finding trace elements in water systems, residual chemicals and again most water treatment systems weren't designed to take a chemical entities out of the water, they are design to disinfected to a reasonable level. It does fit it into our service offering as you may, may not know through our REIT [ph] calls and returns management offering to our hospital and service programs we have a number of capabilities to help hospital and pharmacies be able to segregate appropriately waste and programs that we also do in connection with communities. To help properly segregate that material, contain it and destroyed it in an appropriate manner. Some of the leading institutions that are really trying to focus on their impact on the environment, their safety and regulatory compliance have found great value in our programs. So, I think this external awareness will just help move that further so it's a little of [indiscernible] but we are seeing, much more increase awareness of those topic.
Greg Halter - Great LakesReview: Okay that's great to hear thank you very much.
Operator: Thank you, [Operators Instruction]. I am showing no other questions from the phone lines.
Mark C. Miller - President and Chief Executive Officer: Well, we thank everybody for your time and just in closing as a reminder of everyone of the administrative, professional recognition week, I hope all of you take the time to recognize those people that make it happen for you. And I would like to say on behalf of the entire Stericycle team, we want to thank [indiscernible] for all of the outstanding support that she does for us, day in and day out. Keep the company running and keep us on track. So thank you, [indiscernible]. Take care, everyone.